Operator: Please stand by. Good day, everyone and welcome to the New York Times Second Quarter 2009 Earnings Conference Call. (Operator Instructions). For opening remarks and introduction, I'd like to turn the conference over to Ms. Catherine Mathis. Please go ahead.
Catherine J. Mathis: Thank you and welcome to our second quarter earnings conference call. We have several members of our senior management team here today to discuss our results with you, and they include Janet Robinson, our President and CEO, Jim Follo, Senior Vice President and Chief Financial Officer, Martin Nisenholtz, Senior Vice President, Digital Operations. Because Scott Heekin-Canedy, the President and General Manager of the Times is traveling on business today, we have asked Denise Warren and Roland Caputo to join us. Denise is Senior Vice President and Chief Advertising Officer at the New York Times Media Group and she is also General Manager of nytimes.com. Roland is Senior Vice President and Chief Financial Officer for the New York Times Media Group. All comparisons on the conference call will be for the second quarter of 2009 to the second quarter of 2008 unless otherwise noted, and our discussion will include forward-looking statements. Our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2008 10-K. Our presentation will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate Web site, www.nytco.com. An archive of this call will be available on our website as will a transcript a version that's downloadable to an MP3 player. With that, let me turn the call over to Janet Robinson.
Janet L. Robinson: Thank you, Catherine and good morning everyone. While we continue to experience a very difficult economic climate in the quarter as well as secular changes affecting the entire media industry, we made significant progress in decreasing our cost base and reducing and restructuring our debt. For the second quarter, operating profit was $23.3 million compared with $40.3 million in the second quarter of 2008. Excluding depreciation, amortization, severance and a pension charge, operating profit was $66.1 million, compared with $100.5 million in the second quarter last year. Earnings per share were $0.27 compared with $0.15 in the second quarter of 2008. This quarter's EPS was favorably affected by a $0.26 income tax adjustment and unfavorably affected by $0.04 for a premium payment on debt that we redeemed, $0.02 for a pension withdrawal obligation related to the closure of City & Suburban and $0.01 for severance. In the second quarter of last year, we had $0.11 per share for severance. Adjusting for these special items, EPS was $0.08 compared with $0.26 in the same period last year. This quarter our operating costs fell 20%. Given our strong cost performance, we have increased our estimate for cost savings in 2009. In the first half of the year, we reduced operating cost by approximately $210 million. For the full year, we expect to save approximately $450 million. That amounts to 16% of our 2008 cost base, and we will continue to look for new ways to reduce expenses. On the divestiture front, last week we announced an agreement to sell our New York City classical radio station, WQXR FM to subsidiaries of Univision Radio, Incorporated and WNYC Radio for a total of $45 million. The transaction will enable WQXR to continue its 73-year legacy of providing classical music and other cultural programming to listeners in the New York metropolitan area. We are moving ahead on the sale of our 17.75% stake in the New England Sports Ventures, whose holdings include the Boston Red Sox, Fenway Park and approximately 80% of the New England Sports Network, a regional cable sports channel. The bidding process is underway and we currently expect that this transaction will be closed around the end of the year. While there has been speculation concerning the sale of the Boston Globe, we have not and are not commenting on this. What we will say is that we regularly review our portfolio of properties to ensure that they are meeting our financial targets and remain a strategic fit. The recent revenue and expense initiatives we undertook at The Globe, which I will discuss in greater detail, helped put it on stronger financial footing. We plan to use the proceeds from the divestitures of WQXR and our Red Sox stake to pay down debt. During the first half of the year, we made progress on reducing our debt levels from approximately $1.1 billion at year end to $1 billion at the end of June. We have also restructured our debt and nearly three-quarters of it now matures in 2015 or later. With the steps we are taking to reduce our debt and lower our cost base, we believe that we will be very well positioned when the economy turns around. Now let me provide you with more detail on our revenues. Total revenues for the company declined 21%, with ad revenues down 30%, circulation revenues up 1.5% and other revenues down 37%. Excluding the results from City & Suburban, the company's retail and newsstand distribution subsidiary, which was closed in early January, total revenues declined 20%. Circulation revenues rose 3% and other revenues decreased 12%. At the News Media Group, which includes the New York Times, New England and Regional Media Group, ad revenues decreased 32% with national advertising down 29%, retail down 25% and classified down 45%. Within the classified area, recruitment advertising fell 60%, real estate declined 48% and automotive was down 43%. Print advertising revenues decreased 33% in the quarter at the News Media Group with percent declines evenly spread across the New York Times, New England and the Regional Media Groups. Digital revenues were down 22% in the quarter with most of the decline coming from classified advertising. Overall, as the quarter progressed, the rate of decline in advertising revenues at the News Media Group lessened across all major categories, national, retail and classified. Total advertising revenues decreased 35% in April, 30% in May and 29% in June. At the Times Media Group, advertising revenues decreased 32% in the quarter. The national print categories where we saw the largest declines were financial services, where major banks, credit cards, insurance companies reduced spending, live entertainment, where revenues from Broadways shows and concerts declined and books due to limited support from publishers for new releases. National print ad categories where we saw the largest increases were telecommunications, where wireless carriers increased advertising, health care because major hospitals, medical centers and pharmaceutical companies increased their placement and technology, which saw gains from new product launches. Classified advertising at the Times Media Group decreased in all three major categories, real estate, recruitment and automotive. The rates of decline in real estate and recruitment advertising moderated as the quarter progressed. Retail advertising revenues decreased due to declines in department store, fashion jewelry and home furnishing store advertising. At the New England Media Group, advertising revenues declined 31% in the quarter. National ad revenues in the quarter decreased as declines in entertainment, travel and health care categories more than offset modest growth in financial service and other services and technology advertising. Retail advertising revenues were lower as a result of weakness in home furnishings, department store, electronics and appliance advertising. Classified recruitment, real estate and automotive advertising at the New England Media Group was soft, although the rate of decline for each area improved in June. In the fall of 2008, The Globe and boston.com developed a strategic plan to deal with their operating loss, which earlier this year was projected to be roughly $85 million for 2009. The plan has several components to increase revenues and lower cost. The strategic steps we have taken include the consolidation of printing facilities in Boston, which is expected to save $18 million a year, increased prices on newsstand and home delivered copies of The Globe, which is going very well, reduced compensation for The Globe's managers and other non-union employees and the restructuring of The Globe's labor contracts, which we project will save $20 million in annual operating costs. This was essential to our turnaround plan. In the second quarter, we reached agreements with seven unions that provided slightly more than $10 million in savings. Earlier this week, the Boston Guild ratified a contract that is projected to provide $10 million in annualized savings. With these steps, The Globe is on a path to a more secure financial future. We are deeply grateful to all of our colleagues in Boston both union and non-union, for the hard work and sacrifices they have made to put The Globe on stronger financial footing. Across the organization, our employees are demonstrating their commitment and dedication to improving our company performance and meeting the challenges we face. At the Regional Media Group, advertising revenues decreased 33%. Unlike The Times and the New England Media Groups, the Regional Media Group showed consistent declines of 33% to 34% every month in the quarter. Total circulation revenues were up 1.5% in the quarter, primarily because of higher prices at The Times, The Globe and some of our regional newspapers. Excluding C&S circulation revenues increased 3%. The preliminary results from our price increases have been encouraging, which indicates that high quality journalism is valued by our readers. Other revenues for the News Media Group decreased 37% mainly as a result of the closure of C&S. In the second quarter of last year, C&S had other revenues of approximately $18.4 million. Excluding C&S, other revenues decreased 11% at the News Media Group, mainly because of lower commercial printing and direct mail advertising services at the New England Media Group. In the quarter, due to the lag revenues at the News Media Group declined 22%, led by classified advertising declines, nytimes.com's display advertising had very difficult comps to last year's second quarter when it had a very strong double digit gain. The advertising model we have used at nytimes.com has been very successful, generating more revenue than the vast majority of other websites we have studied, including some that are much larger than our site. But we believe it is very important to explore other means of deriving revenue. Therefore we are undertaking qualitative and quantitative research as to how many of our readers would be to pay for online content, and how much they would be willing to pay. We want to know more about our readers' mindsets and preferences. In this way we can find new opportunities for online revenue streams. At this time our work is centered on a metered model and a Times membership model with special offerings. It is too early to say what this research will yield, but the process is part of our effort to augment our online advertising. We expect to have more to report in the fall. At the About Group total revenues decreased 5% to $27.1 million as lower levels of display advertising were only partially offset by higher cost per click advertising. Good expense control at the About Group enabled it to grow operating profits 12%. In total, Internet businesses decreased 14% to $78.2 million from $91.3 million. Internet businesses accounted for 13% of the company's revenues in the second quarter versus 12% in the second quarter of last year. As we continue our transition from a company focused primarily on print to one that is increasingly digital in focused in multi-platform in delivery, online advertising revenues are an important part of our mix. They make up 21% of our ad revenues in the quarter, up from 18% in the same period a year ago. Based upon what we have seen so far in July, we expect the advertising environment to continue to be challenging. We believe the rate of decline will moderate slightly in the third quarter from what we experienced in the second quarter. For the balance of the year we are focused on developing innovative products based on our high-quality journalism, which we believe is a key competitive advantage and serves us well across platforms. We will continue to aggressively lower our cost base to better align it with our revenues. When the economy and ad markets improve we believe we will be very well positioned to benefit from the aggressive restructuring of our business. Now let me turn call over to Jim, who will tell you more about our cost reduction initiatives and steps we are taking to enhance our financial flexibility.
James M. Follo: We continued our strong expense discipline in the second quarter and managed our costs even better than we did in the first quarter. As Janet said, operating costs declined 20% as reductions occurred in nearly all major expense categories. We are putting an even greater emphasis on lowering expenses and plan to decrease our operating costs by approximately $450 million in 2009. Across the board we have been reducing costs, but some of the major year-over-year savings we expect in 2009 are approximately $117 million for C&S, $65 million for newsprint, $50 million in severance expense, $18 million as a result of changes in our benefit plans for non-union employees, $10 million in the second half of the year from our unions in Boston, $9 million in the second half of the year for the consolidation of The Globe's two printing plants and significant savings as a result of the decrease in the size of the company's workforce which at the end of June was down 19% from the prior year. In addition, salaries were reduced in the second quarter which is also providing us with savings. Severance costs were a penny a share in the quarter or $1.7 million compared to $0.11 per share or $27.6 million in the same quarter last year. Depreciation and amortization increased 5.5% to $34.4 million from $32.6 million in the second quarter of 2008 primarily because of accelerated depreciation for the consolidation of The Globe's printing plants. Newsprint expense decreased 24.5% mainly from lower volume. Newsprint transaction prices peaked last November and have decreased steadily since. Forecasters believe that the price will continue to decrease this month and are likely to hit bottom during the third quarter. Prices are expected to remain under pressure unless there is a substantial reduction in capacity. Interest costs increased in the quarter to $21.7 million from $12.1 million as a result of higher rates on our debt. At the end of the first quarter our debt totaled $1.3 billion. This included the financing liability for the sale lease-back transaction that closed in early March. The proceeds from this transaction were held in an escrow account at quarter end and subsequently used, along with borrowings under our revolving credit facility, to redeem $250 million of notes due in March 2010. With the redemption of these notes, our total debt is now approximately $1 billion. We had costs of $9.3 million in the quarter for the premium associated with the early debt redemption. We remain comfortably in compliance with the minimum shareholders' equity covenant in our revolving credit agreement. For the year the company expects interest expense to be approximately $85 million. In the second quarter of 2009 the company's calculation of taxes resulted in a change in estimate for the first half of 2009. The effect of this change was the recognition of a $37.7 million tax benefit. The effective tax rate for the first half of 2009 was 52.9% primarily because of a favorable adjustment to reduce the company's reserve for uncertain tax positions. CapEx in the quarter totaled $9 million and year-to-date was $35 million. We have taken decisive steps to reduce capital spending and improve our liquidity. This year we expect our capital expenditures will decrease from the 2008 level of approximately $127 million to about $70 million. As always, we continue to evaluate our assets to determine if they remain a strategic fit, and given the outlook for the business and their financial performance, make sense to be part of the company. At the end of March we sold The Times Daily, our newspaper in Florence, Alabama, to a strategic buyer in an adjacent market. As Janet mentioned, we recently announced an agreement to sell our classical radio station, WQXR, and are pleased by the interest we have seen in our stake in the New England Sports Ventures. With the moves that we have taken to refinance and pay down debt and the anticipated asset sales, we believe we have the financial strength to manage through this challenging time. And with that will be happy to open it up for questions.
Operator: (Operator Instructions). Your first question comes from Alexia Quadrani – JP Morgan.
Alexia Quadrani – JP Morgan: A couple of questions, first on the circulation front you continue to see very good growth in circulation revenues particularly in New England in this quarter. Do you have any sense about how much more you think you can continue to raise rates for your papers before you see an inverse impact on volume which will have a negative impact to circulation revenues?
Janet L. Robinson: Well, with the increases we are seeing less than forecasted declines in the volume and circulation, but the revenue is performing very, very nicely. When indeed, we have always raised, when we have raised rates we have always have forecasted of course beforehand to judge what volume impact it will have. And thus far both at The Times and at The Globe with these recent increases we are very pleased to note that indeed they are performing well. The cancellations are well below our expectations.
Alexia Quadrani – JP Morgan: And then if you look at specifically The New York Times property, could you give us any color in terms of the ad revenues declines you are seeing there? What portion really comes from a hit to rates versus ad volume decline?
Denise Warren: It's primarily volume. Rates more or less held as a result of the mix, more national business versus classified. It's primarily volume.
Operator: Your next question comes from John Janedis – Wells Fargo Securities.
John Janedis – Wells Fargo Securities: Sorry if I missed this, but, Jim, on the cost side can you talk more about the rest of the year? I think the guidance implies a mid-teens decline. And just given what you printed in Q2 and with the newsprint prices easing versus last year, is there any reason why the high-teens decline wouldn't continue or even get better as we go through into 4Q?
James M. Follo: Look, if you recall last year as we went through the year, our cost performance was much more aggressive as we went deeper into the year. So we had a fair amount of staff layoffs last year that was cycling for us. So just like the comparisons get easier on the revenues they get more difficult on the cost side. We obviously had some meaningful benefit this quarter as well on buy-outs although we do expect that to continue as well. You are right though that we will have a number of initiatives back half of the year, but it's principally because we're cycling against some pretty aggressive numbers in the third and fourth quarter of last year.
John Janedis – Wells Fargo Securities: Martin, can you just talk a bit more about where you're seeing on the display side with the news media, did any major customers pull out? And do you think you're losing share relative to the total industry?
Martin A. Nisenholtz: No, I mean I'll ask Denise to comment on this specific to The New York Times, but I don't think we can point to any major losses. I think that her comments about overall volume on the side, on the businesses, is true of the digital side as well. I would point out that, to point to Janice's comment about most of the hit, a disproportion of the hit coming in the classifieds area.
Denise Warren: Can I just jump in and remind you again that we had a really, really, really robust quarter overall for nytimes.com last year, but really in the display area? So we are up against really significant comps. That's just some context that I think is important that you have. And just based upon what we've been seeing in the marketplace comparing to other sites there, we do believe we are taking share in the display marketplace, and we do believe we are performing better than most of our competitors in the display marketplace.
Martin A. Nisenholtz: I mean Yahoo just announced a 14% decline in display. I think, while we're not breaking out the numbers, I think our display performance overall at nytimes.com and across the News Media Groups was better than that.
Operator: (Operator Instructions). Your next question comes from Craig Huber – Barclays Capital.
Craig Huber – Barclays Capital: A few questions, can you just personally pick for the newsprint, what the average percent price change year-over-year and also the consumption for newsprint in the quarter? I have some follow-ups.
James M. Follo: Well the price was basically flat in the quarter. It was favorable by 2%. The volume was really what drove that. As we get into the second half of the year, as I said, you will begin to see some fairly significant price reductions year-over-year, and I think that will generate some fairly significant savings in the back half of the year. As we said I think the total savings for newsprint is $65 million and the total savings on newsprint through the first six months of the year was about $12 million. So you will see some fairly significant improvements in that line in the second half.
Craig Huber – Barclays Capital: And then my second question, in the newspaper division, what is the percent change for your non-newsprint cash costs adjusting for these various one-time items you point out in the press release?
James M. Follo: Well just on a kind of on a pre-buyout basis, which is really where most of the big numbers are we were down about 20%. And within that number, and then we detail it in the back, raw materials in total were down about $17 million on total cost declines about $122 million.
Craig Huber – Barclays Capital: And then this is sort of a follow-up, on the advertising pricing front when I asked Gannett on their conference call, they admitted basically their average newspaper ad rates were down 5%, 5.5% in the second quarter year-over-year. When I asked McClatchly the question, they said it was some number, advertising rates for the newspapers were down north of 4% to 5%: And then Journal Communications, obviously the Milwaukee newspaper, they said that their average rate for newspapers is down 12.8%. Just want more clarity as you look across your portfolio, I'd be curious if the cost of the Times, the Globe and your regionals, how much was your ad rate percent change year-over-year for your newspapers. I just honestly have a hard time believing it was flat. I mean, everybody else is down those meaningful numbers, or were you just talking about the New York Times and you haven't talked as yet about the Globe and the regionals?
Janet L. Robinson: Yes, the comment was just about the New York Times. I did not comment about the Globe and the regionals.
Craig Huber – Barclays Capital: What about the Globe and the Regionals?
Janet L. Robinson: I think there's rate pressure certainly across all newspapers and I see – we can certainly say that that's the case at the regionals and at the Globe, but it is not meaningful. I think the people at both the Globe and the regionals are working hard to make sure that they are holding rate as much as they possibly can. There are more issues in regard to volume as opposed to rates.
Craig Huber – Barclays Capital: But, Janet, you'd be talking down 1%, 2% or 3% in that range?
Janet L. Robinson: I don't think we need to quantify. I think it's in the – a low range. Let's put it that way.
Craig Huber – Barclays Capital: Okay. And then the other thing is you talked about I think the month of June, the decline there better than the overall second quarter. You talked about in your press release and your comments that the third quarter you thought your advertising declined and you said you'd be down – the rate of decline –
Janet L. Robinson: Moderating slightly.
Craig Huber – Barclays Capital: Would be down slightly, moderating slightly. Isn't that really just based on the comparisons are significantly easier in the third quarter? I'm looking at your numbers from a year ago. It's about four percentage points difference.
Janet L. Robinson: Well, certainly, Craig, the comps are assisting us as the year goes on and that is true I think of really all newspaper companies, all media companies, primarily because the recession really started to hit much harder in that period of time. But what we are seeing is that there is a loosening up of some of the budgets that were very much rock solidly closed in the first half of the year. There are more requests for proposals in many of the categories. That's not to ensure that these budgets are going to be robust or their commitments are going to be robust, but it is encouraging to see that indeed many of the advertisers are looking at ways in which they can utilize the vehicles within our portfolio.
Craig Huber – Barclays Capital: And then back to my ad rate question for you flagship paper you are saying you think the rate is basically flat year-over-year there?
Janet L. Robinson: Yes, and again, this is a really complicated question as you know, very difficult to answer because we have so many different categories and so many different factors. But it's a lot to do with mix and it's a lot to do with the fact that as advertisers reduce volume they move up on the rate card, so their rate actually does go up. And that's – those are just two of the key factors that you should be aware of when we think about and we talk about this issue.
Denise Warren: That is also true, Craig, in regard to Boston and the regionals, when looking at their rate cards for newspapers it is important to note that when the frequency drops the rate increases.
Operator: Our next question comes from Scott Davis – JP Morgan
Scott Davis – JP Morgan: Yes, hi, just a small point. I wanted to follow up, Martin, on what you were saying when you made reference to similarly taking some market share versus some of the big guys like Yahoo, and one of the things they mentioned on their call was that despite the fact that the number wasn't good, it felt like pricing for some of their categories of advertising was starting to improve. And then as you spoke to them more it seemed like the large advertisers in particular as compared to the small advertisers were showing some signs of early stress. Are you seeing anything that would be similar or different to that?
Martin A. Nisenholtz : Let's have Denise take that for the nytimes.com business.
Denise Warren: So in terms of pricing, we've, for the first half of the year, maintained and grown our pricing slightly on the online side. We did see a slight dip in Q2 on some of our premier units but again, that's really a result of the robust comps that we were up against in the prior year. We have introduced several premium display units that are garnering significant premiums and rates in the marketplace so that is really helping our display position and will bode well for us in the coming year.
Scott Davis – JP Morgan: Okay. And then, Martin, you suggested something as related to CPCs increasing. Could you add a little color to that?
Martin A. Nisenholtz : Yes. I actually didn't. It was I think Janet described the CPC strength in her introduction. The only thing I'll add is that we have seen better CPC results in the second quarter at about.com and we expect to continue to see good results on CPC. The business is quite positive at this point.
Operator: And that is all the time we have for questions today. I'd now like to turn the conference back over to Ms. Mathis for any additional or closing remarks.
Catherine J. Mathis: Thank you all for listening today and if you have any additional questions, please give me a call.
Operator: This concludes today's presentation. Thank you for your participation.